Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the IMAX Corporation Third Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Please note that today’s conference is being recorded. I will now hand the conference over to your host, Jennifer Horsley, Head of Investor Relations. Please go ahead.
Jennifer Horsley: Good morning, and thank you for joining us on today’s third quarter 2023 earnings conference call. On the call today to review the financial results are Rich Gelfond, Chief Executive Officer; and Natasha Fernandes, our Chief Financial Officer. Rob Lister, Chief Legal Officer, is also joining us today. Today's conference call is being webcast in its entirety on our website. A replay of the webcast will be made available shortly after the call. In addition, the full text of our earnings press release and the slide presentation have been posted on the Investor Relations section of our site. Our historical Excel model is also posted to the website. I would like to remind you all of the following information regarding forward-looking statements. Today's call as well as the accompanying slide deck may include statements that are forward-looking and that pertain to future results or outcomes. These forward-looking statements are subject to risks and uncertainties that could cause our actual future results to not occur or occurrences to differ. Please refer to our SEC filings for a more detailed discussion of some of the factors that could affect our future results and outcomes. Any forward-looking statements that we make on this call are based on assumptions as of today, and we undertake no obligation to update these statements as a result of new information, future events or otherwise. During today's call, references may be made to certain non- GAAP financial measures. Discussion of management's use of these measures and the definition of these measures as well as reconciliation to non-GAAP financial measures, are contained in this morning's press release and our earnings materials, which are available on the Investor Relations page of our website at imax.com. With that, let me now turn the call over to Mr. Richard Gelfond.  Rich? 
Richard Gelfond : Thanks Jennifer, and thanks everyone for joining us this morning. It is truly the best of times at IMAX. The company delivered a record performance in the third quarter. We've seen many good quarters, but few have exceeded our expectations like this. Adjusted EBITDA of $45 million, up 174% year-over-year; and EBITDA margin of 47%, an IMAX record for Q3; significant year-over-year growth across revenue, gross margin and adjusted EPS; global box office of $347 million, our second highest grossing quarter of all time. We remain on pace to take our highest share of the global box office ever in 2023, and we've generated 120 signings for new and upgraded IMAX systems worldwide to date, including our biggest deal in four years.  Almost every day yields new evidence of our commanding brand, market power and demand for the IMAX experience. Fans traveled hours and hundreds of miles to experience Oppenheimer in IMAX film. Dune filmmaker Denis Villeneuve proclaimed IMAX “The Future of Cinema.” Our performance with Taylor Swift and Killers of the Flower Moon demonstrates we're expanding our brand to new audiences and genres. And summer 2023 was our biggest summer of all time in 54 countries worldwide, from Argentina to Vietnam, the U.S. to China, underscoring the geographic breadth of our success. Our results and market share are through the roof because IMAX has emerged as the preferred way to experience events around the world. We built the strongest, most diverse content portfolio in our history, reaching new audiences with Hollywood blockbusters, local language films, marquee theatrical releases by streamers, concert films, documentaries, and live events. And virtually all of it is working in our network, reducing volatility for the IMAX box office.  In a highly dynamic environment for media and entertainment, the one constant is IMAX outperformance. We remain on track to deliver significant growth in system signings, installations, and adjusted EBITDA for the full year. And we've already surpassed our full 2022 box office. Today, I'd like to discuss how we're building our brand and market leverage with our box office results and how that momentum is translating to worldwide network growth. Then I'll turn it over to Natasha to take you through our financial results before opening it up for your questions.  The quarter was our second highest grossing quarter of all time at the global box office. The big driver of course was Oppenheimer. We've grossed more than $184 million with Oppenheimer to date, nearly 20% of the film's global tally during our run. While Oppenheimer was the cornerstone of our performance, it was hardly the only building block. In China, local release Creation of the Gods Part 1 delivered more than $32 million in IMAX. Lost in the Stars and No More Bets from China also generated strong returns and local releases from Japan and India also made meaningful contributions. 2023 is already our best year ever for local language box office with more than $200 million to-date and still almost three months to go. Through the third quarter, 22% of our global box office in 2023 has come from local language films, compared to only 12% in 2019. We will program more than 50 local language films across our network this year, as we expand our strategy into new markets, most recently, Malaysia. Additionally, we continue to demonstrate IMAX as a premier destination for music, as concert films show surge in popularity at global multiplexes. Talking Heads' Stop Making Sense was our highest grossing IMAX live event to-date with its premiere event from the Toronto International Film Festival. The film helped set the table for TAYLOR SWIFT | THE ERAS TOUR to deliver a great performance in IMAX, with an opening weekend of more than $13 million globally, including 12% of the film's domestic debut. Our pre-sales with Beyoncé upcoming Renaissance concert film have also been quite strong. And we will deliver two prestige releases from Apple Films this fall, Killers of the Flower Moon and Napoleon. With Killers of the Flower Moon, we delivered 14% of domestic opening weekend box office. We are particularly pleased with our indexing on Killers, given this is our first release with Apple, which plans to spend $1 billion annually on theatrical releases, with the transcendence scope and scale you would expect from such a visionary company. From our recent local language to music tent-poles, to the Apple Films, all these films have one thing in common, they were not on our slate at the beginning of the year. This speaks to our ability to strategically managing our programming in real time and the increasing diversity of our portfolio. We anticipate that there will be some movement in 2024 release dates due to the impact of the strikes. Given the strength of our performance this year, we believe there is upside for IMAX in Dune: Part Two moving to March '24, anchoring our first quarter box office. The highly anticipated sequel was shot 100% with IMAX cameras versus 40% for Dune 1. We also think movement in the 2024 slate could create space for us to release films we currently cannot, similar to the way the Dune move enables us to play the Marvels and the Hunger Games prequel in the current quarter. These additions show how agile and quick we can be to find new sources of content and box office revenue. And 2024 features new installments of IMAX friendly franchises from Dune to Godzilla vs. Kong to Captain America, Joker, and more. As we look ahead, we believe IMAX has reset the calculus for the box office we can deliver in any given year.  In 2023, we'll release 90 films. Pre-pandemic, we averaged about 61 releases per year. 2019 was our previous best year at the global box office. It was also the highest grossing year in box office history with nine releases in total that gross more than $1 billion from Endgame to The Rise of Skywalker. This year, we've seen only two $1 billion grossing movies, and one of our biggest releases Dune 2 moved out of the year entirely. And yet IMAX is tracking to similar box office levels as 2019.  More than ever, our results and market share make it clear that we're a very different business than our partners in exhibition. Much in the way the Avatar sequel jumpstarted our system sales activity early this year, our performance with Oppenheimer has provided yet another jolt of momentum. We now have 120 signings this year for new and upgraded IMAX systems worldwide. Consistent with our focus on high PSA high potential markets this year, we generated strong sales activity in APAC, including Malaysia, where we just completed a six system agreement with Golden Screen Cinemas. Despite a relatively small IMAX footprint, Malaysia has consistently been in our top 25 markets globally. Year-to-date, we've delivered more signings in Malaysia than any market globally outside the U.S. and China. In Japan, we completed installation of the seven systems we licensed to AEON earlier this year, which have already generated more than $2 million in box office since the first location opened in May. IMAX also returns this month to a very productive box office location with IMAX Sydney. Prior to its closure in 2016, IMAX Sydney was one of our top grossing theaters on the planet.  The new system and the newly open Darling Harbour retail, hotel, and entertainment complex features IMAX with Laser and one of our biggest screens in the world. Given the extraordinary performance of our Melbourne location this year, where we expect to exceed $4 million in box office, we are very confident Sydney will make a meaningful contribution to our box office results. In its first week of operation, the new IMAX Sydney was our highest gross location in the world outside the U.S. and the UK.  Finally, just this month we reignited growth in China with a 20 theater deal with Hengdian Films, our biggest deal for new IMAX locations in four years. With regards to IMAX China, we announced earlier this month that our take private proposal did not garner the requisite 90% shareholder vote of independent shareholders for approval. While disappointed, we are far from deterrent when it comes to our business in China. From our signings momentum to our dramatic box office recovery this year, it's clear that China remains a big opportunity for IMAX. We'll look for other ways to capture some of the transaction synergies as we strengthen our position in the Chinese entertainment ecosystem. In conclusion, our record-breaking results for the third quarter offer powerful evidence of the paradigm shift to IMAX in the global marketplace. We agree with Denis Villeneuve, IMAX is the future of cinema. We lead the shift to premium and movie going. We are the only global premium theatrical platform. The emergence of concert films, a genre uniquely suited to IMAX sight, sound and live capability only strengthens our hand.  Finally, we continue to expand our brand and technology across the ecosystem, having recently merged our IMAX Enhanced licensing business and SSIMWAVE under unified brand IMAX Streaming & Consumer Technology. We are on track to deliver strong growth for the full year, continue our momentum into 2024 and drive future global growth across the IMAX network. There has never been a better time for IMAX and we're excited for that to continue. Thank you.  And with that I'll turn it over to Natasha.
Natasha Fernandes : Thanks Rich, and good morning, everyone. Our fantastic results for Q3 speak to the growing demand for the IMAX experience and the expansion of our content portfolio across our global system footprint. More than ever, we are able to optimize our programming and maximize annualized box office to greater levels. This in turn drives stronger global demand for IMAX systems, creating a very positive long-term growth dynamic. In the quarter, we established a new Q3 box office record of $347 million and a Q3 adjusted EBITDA margin record of 47%. Signings are now 2.5x what we did for all of 2022 and the pace of installations is accelerating as we finish off the year. Furthermore, we achieved a record Q3 adjusted EPS of $0.35, more than 50% higher than it was in 2019, reflecting our greater earnings power coming from the combination of higher profits and less shares outstanding.  We are well on track to meet or beat all of our full year guidance measures. We expect IMAX box office of at least 1.1 billion, installations of 110 to 130 IMAX systems, and adjusted EBITDA margin is trending higher than original expectations of mid-30s for the full year.  Now, for a closer look at the third quarter. Box office of $347 million was up 96% year-over-year, putting us at 889 million year to date. As Rich highlighted, we are regularly seeing outsized share on Hollywood and local language opening weekends above our historical norm. Looking into 2024, there are numerous confirmed titles where we expect to over-index with Dune: Part Two being the most significant in the first half. With Dune: Part One, IMAX delivered $55 million in global box office and indexed more than 17% worldwide for the entire run, despite the fact that the film was released during the pandemic and available simultaneously on HBO Max.  We're excited to see what Dune: Part Two can do, especially given it was shot 100% in IMAX versus 40% for the first film. Total revenue in Q3 was $104 million, up 51% from $69 million in Q3 2022. Given the relative fixed nature of our costs, this growth resulted in high profit flow through with gross profit of $63 million, up 98% year-over-year, and overall led to a 60% gross margin in Q3. Both segments contributed to the higher level of revenue and gross profit year-over-year  Content Solutions revenue of $44 million comprised 43% of total revenue and grew 101% year-over-year, driven by strong IMAX box office performance. Gross profit of $26 million grew 189% year-over-year and came in at a 60% margin, illustrating the significant operating leverage in our model that gets amplified with higher levels of box office. Technology Products and Services revenue of $56 million comprised 54% of total revenue and grew 23% year-over-year. Gross profit of $34 million grew 55% year-over-year. This very strong result was driven by growth in IMAX box office and system installations under sales or hybrid arrangements. In total, we had 30 installations in the quarter compared to 17 in the prior year period. Of the installations, 16 were sale or hybrids and 14 were joint revenue-sharing leases. As exhibitors' balance sheets recover, they are clearly investing in premium, and this is accelerating our pace of installations, positioning us overall for a strong full year 2023. This is also reflected in our signings momentum. We are at 120 signings through today, more than doubles as 47 in all of 2022. The stats behind our signings to-date showcase the broad demand for the IMAX experience. A 101 of the signings or over 84% were new systems, compared to 30 for all of 2022. 20% were in U.S. and Canada and 13% in Europe, 38% were in Japan and Southeast Asia. And we are seeing signings begin to pick up in China now at 24 to-date with the Hengdian deal Rich mentioned earlier. Turning to operating expenses, we are investing for long-term growth and to exploit our differentiation and strong brand. R&D expense of $2.8 million increased $1.7 million, reflecting our investment in new technology including streaming optimization software. SG&A excluding stock-based compensation of $31.4 million increased $3.5 million from Q3 2022. However, SG&A was roughly flat year-over-year when we net out one-time transaction costs and the inclusion of SSIMWAVE expenses, which were not in the prior year given the acquisition closed at the end of Q3 2022. As a percentage of revenue, SG&A excluding stock-based compensation was 30% versus 41% in Q3 2022, an improvement of approximately 1,100 basis points, reflecting the leverage in our business model, coupled with a continued focus on cost discipline efforts. Adjusted EBITDA attributable to IMAX was $45 million, a growth of $29 million or 174% year-over-year. The growth across our segments and the strong operating leverage in our business model drove this excellent result. From a margin perspective, adjusted EBITDA attributable to IMAX was 47%, one of the highest quarters in our history. Looking at the bottom-line, adjusted EPS in Q3 of $0.35 improved significantly from the $0.05 loss in the prior year period, reflecting the growth in adjusted EBITDA. Operating cash flow through nine months was $55 million or $0.99 per share representing significant growth versus the $480,000 for the first nine months of 2022. The year-over-year improvement reflects our higher profits and the accelerating business recovery of our exhibition customers post-COVID. For further context, on a consolidated basis, operating cash flow for the entire year of 2022 was $17 million. Thus, September year-to-date operating cash flow is more than 3x what it was for the full year of 2022. Our capital position remains very strong as we ended the quarter with $109 million in cash and $258 million of debt excluding deferred financing costs. $230 million of our debt comes from our convertible senior notes due in 2026 that bear an interest rate of 0.5% per annum with a capped call of $37 per share. Our current available liquidity is approximately $439 million, including cash and cash equivalents of $109 million and $330 million in available borrowing capacity under the company's various revolving facilities.  From a capital allocation perspective, the IMAX China transaction outcome results in us having greater available capital. We believe our stock is greatly undervalued and thus we will continue to prioritize share repurchases as a use of cash just as we did in 2022. To date, in the fourth quarter, we have repurchased approximately $4 million worth of shares and have 187 million remaining available under our share repurchase authorization.  To conclude, Q3 is the most emphatic demonstration yet, that this is a breakthrough year for IMAX. We are delivering a steady stream of IMAX box office, market share and financial records. We are effectively managing our content portfolio to maximize results. The table has been reset post-pandemic, and we have emerged stronger on an annualized basis. The opportunities in front of us in 2024 and beyond are even more significant. Demand for the IMAX experience is at an all-time high. We are regularly setting market share records across genres of films, which is expanding our fan base demographics. Studios, filmmakers and exhibitors are all realizing that IMAX is the most premium entertainment technology company in our space with unmatched global scale. This is fueling our system sales and propelling us into new market segments such as Streaming & Consumer Technology. And importantly, as our growth accelerates, our asset-light, highly incremental business model is resulting in expanding margins, bottom line profit growth, and robust cash flow generation.  In summary, our ability to optimize our results through a portfolio of content, combined with the growing demand for our technology solutions, is positioning us well relative to our full year guidance and setting us up for long-term success.  With that, I will turn the call over to the operator for Q&A.
Operator: [Operator Instructions] First question coming from the line of Eric Wold with B. Riley.
Eric Wold: One question, or it’s a quick follow up afterwards. I guess, one, obviously the impressive leverage in the quarter on a strength of box office. I guess, as box office continues to ramp and exceed pre-pandemic levels in the coming years, can you talk about what has changed structurally within the Content Solutions segment to influence margins versus prior levels? I guess, taking into account the larger number of films that will be released into more regions along with stronger average film performance. Just trying to get a sense of where those margins can go in that segment over time? 
Richard Gelfond : Yes, Eric, we've said for a long time that as the box office and revenues increase, you'll see margin expansion. And that's the primary driver. And if you look back to 2019, at where our margins are and then the last few years, which are heavily influenced by the pandemic, this is back to sort of the levels of margin that we thought we could deliver at those kinds of box office levels. So I think if the box office continues at these strong levels, the margin increases will continue or the margin levels will continue. 
Natasha Fernandes: Eric, and just following on that, if you think about the way that we're doing local language as well in different regions, local language content does not cost as much for us to convert, to remaster and then to distribute as well and to market. And the dollar works differently and goes a lot further in different countries. And so as you look at our costs, our costs continue to remain relatively fixed and predictable, but the box office expansion creates all of that revenue growth. 
Richard Gelfond: Yes. Sorry to dwell too much on this, but one fact we don't talk about that much is that our margin on local language, meaning our gross take from the studios is as good as Hollywood or in several countries, better than Hollywood. So as that flows through, you have lower costs and higher revenues. 
Eric Wold: The follow up question, you talked -- we've seen and obviously this year you talked about you'll see it next year where if the films do move, gives you some flexibility in that slate. If the studio chooses to move out of an already agreed upon IMAX window and ship that film later to another window, do they have first rights to that original window they had committed to, or does it go up for grabs then for any studio that becomes your choice again about what to replace there? 
Richard Gelfond: No, it's completely up for grabs, Eric. The agreement applies to a specific movie at a specific time, and then we have to negotiate a new window. And a good example of that would be just in the last few days when Paramount decided to move Mission Impossible 8 to Memorial Day 2025. It was - as if it were a completely new negotiation and what the marketing was and in this case it's being filmed with IMAX cameras and how much play time we get, it’s a complete kind of do over as if the original deal didn't exist. 
Operator: And our next question coming from the line of Eric Handler with ROTH MKM. 
Eric Handler: Rich, I wanted you talk about, what do you need to see in the specific markets to run a local language film such as what you're doing in Malaysia now and where do you -- what markets do you see as opportunities? 
Richard Gelfond: So Eric, I mean the first place you start is what's the box office in the market? So how much of the cost could you amortize through the local language network? Second, you'd look at whether it would also play in other markets, where there's an interest in, for example -- I'm not that familiar with the Malaysia specifics, but I would think that Malaysian movies would probably play in the Middle East and they'd probably play in India and places like that and other Southeast Asian countries. So not just the country of origin but other countries and how they do there. And then I think you obviously look at the movie, the kind of movie, is it an IMAX kind of movie. I mean, you look at your relationship with the filmmaker and with the studio in that country. And then, of course, you run a model and you look like what your P&L would look like in doing that. And then I would say, one other thing would be, you look at the potential for that market. So in India, as you know, we have been doing a lot more local language films. And the reason is not just because of the other criteria I mentioned, but because it is potentially a much larger market for us and to the extent you can help increase the PSAs in that market, and help the exhibitors do better, it really helps your growth in that market. So those would be pretty much the factors.
Eric Handler : Okay. And then I am curious now, as you look at your backlog, I don't know sort of what your bottlenecks are in terms of you actually need construction to be completed for theaters. But in terms of theaters that are already in existence, is there any way to maybe accelerate the installation process with these theaters?
Richard Gelfond : I mean, I think it depends mostly obviously on the schedule of our local exhibition partner. And again, obviously with retrofits, it goes a lot faster than with new builds. So as I said on my prepared comments, in Japan, we signed a seven theater deal with AEON, and we have already installed all seven of them this year. I believe the one we have just announced in China with Hengdian, even some of those are being -- as a matter of fact, as I recall, it's six this year, even though we have just signed that deal in October. And those are retrofits, obviously. The new builds has less flexibility, because obviously you have got build a building and put that in there. I would say beyond that, the only thing that would really accelerate it beyond that would be the film slate. So if there is a film coming out that people want to open for, and also there is a typical seasonality as you know in the fourth quarter. And partly that's because the fourth quarter before Christmas time tends to be not that busy on a global basis, so they can shut the existing theater down for a little while, and they could put the new one in and then they could open up for Christmas. But if you look at our percentage of installs in the fourth quarter, it has historically always been extremely high.
Operator: And our next question coming from the line of David Karnovsky with JPMorgan. Your line is open.
David Karnovsky: All right. Thank you. For Natasha, your revenue take rate on net box had Content Solutions especially strong in the quarter. Just wondering if you could speak to what drove that and how sustainable it is? And then, Rich, I think last quarter, you spoke to some early conversations with exhibition partners about maybe adding screens and exclusivity zones, wanted to see if there was any update there. And then how much are exclusivity zones of barrier to you getting higher penetration in the domestic market? Thanks.
Natasha Fernandes: Hi, David. So as we looked at the quarter, we actually had a really good mix of a local language and Hollywood content in the quarter. It was our best ever summer local language quarter for China. And so the take rate in China, runs higher versus Hollywood content in China. And so as we pushed local language for China between Creation of the Gods Part 1, No More Bets and a couple of other titles, it definitely helped us. And we also ended the quarter with the beginning of the October holiday on the very last days. And so that led a lot of the take rate wins as well. The other component of that is Oppenheimer, Oppenheimer's take rate worked better for us in our film locations, just based on the specific arrangements that we had for that film. And so, that also optimized our take rate in the quarter. 
Richard Gelfond : So David, in terms of discussions we've had about adding theaters within zones with exhibitors, I'd say they continued during the quarter. There's nothing that we announced, but there haven't been any setbacks. We've just continued those discussions and I expect there to be some results from that, but just not today. On what -- how much of a barrier are the exclusive zones to growth in the markets? So I think that on a regular basis, we review what our total addressable market is and that changes, and our analysis is for the next three years. So giving you historical perspective in China, our original estimate was for 90 theaters. And now I think our estimate is about 1,200 or something like that. And we have 800 open and over 200 in backlog. So that becomes a moving target.  Obviously, the number of zones that are closed down because there's exclusivity, influences what that addressable market is. But I'd like to give you a few interesting examples. North America which is one of our most heavily penetrated markets, there's still a lot of zones open and something like 25% of our signings before this quarter were in North America this year. So there's still a lot of room to go and a lot of growth.  And occasionally for various reasons, someone will give up an IMAX theater. And it just so happens that recently in two zones people shut down a multiplex. They didn't shut down an IMAX theater, but they shut down a multiplex for whether it's real estate or whatever the reason is. And within weeks, we resold those zones to another exhibitor, because the exclusivity had gone away. So it does influence it, but it also protects us in many ways, because we've demonstrated the viability of the box office in that zone. And if for whatever reason something happens, we have a very good proof point to resell that zone. 
Operator: Thank you. And our next question coming from the line of Chad Beynon with Macquarie. 
Chad Beynon : Given the IMAX China situation, Natasha, does anything change in terms of how you're thinking about capital allocation, buybacks or M&A given where the balance sheet is and maybe some cash that's ready to be used? Thank you. 
Natasha Fernandes : Hi, Chad. Well, the China transaction, we are continuing to operate business as is. I think, we just had the deals signed that we announced, 20 system deal with Hengdian and we think that the market has returned. We've been doing well in China. We had our best ever Q1, we've had our best summer local language title. And so, as we look at China, we will continue to operate it as is. But from a capital allocation perspective, at the consolidated level, that will continue as well. We've done share repurchases already. We did 2 million in the quarter and then after the quarter subsequently, we've already done a little over 4 million. And so, as we think about capital allocation, that's our continued strategy that if we see that we're undervalued, we'll be opportunistic about it, and with the cash on hand that we have. 
Chad Beynon: And then Rich, just thinking about some of these new programming events, particularly the concerts you talked about Talking Heads, Taylor Swift, Beyoncé, I guess these are global artists, but more focused on North America. Are there local language artistic opportunities, say maybe a big Chinese artist or singer, where we could see years down the road this coming into kind of the local language content? Or does that just not kind of drive the PSAs that are needed to book a window in your screens? Thanks. 
Richard Gelfond: When you were asking the question, I was wondering whether you were tapping into my phone over the last couple of weeks, because the answer is yes. There are definitely local language opportunities and specifically I think there are in China, and we're starting to think about how to address that. But I also want to remind you that a couple of quarters ago, we did an event with -- a concert event with a band Indochine, which is very popular in France. And it was extremely successful in France. And I think that's led not only French talent, but other talent around the world to look to replicate that model. And if I have to hone in, I think it's probably a bigger opportunity for us, for local talent in local markets than it is for using Taylor Swift as a model because she's so wildly successful as well as Beyoncé. There aren't a lot of models like that, but I think there are a lot of models of particular talent in a particular market that I think we will replicate.
Operator: And our next question coming from the Stephen Laszczyk with Goldman Sachs.
Stephen Laszczyk : Maybe for Rich, just a follow-up on the 120 system signings year-to-date. It sounds like some of these signings are coming in on the quicker side. I was wondering if you could maybe just talk a little bit about this expected pacing of installs for this vintage of signings on balance. Is there anything in your conversations that might suggest that they could come in a little bit quicker over the next few years than what we've seen historically? 
Richard Gelfond: Thanks, Stephen. So I think that you are right. They have been coming in more quickly, certainly. I mean, we're up to 120 versus 47 for all last year, and we still have two and a half months to go. And I think that's largely the function of our performance. And we report IMAX's performance, but obviously our exhibition partners are doing extremely well with IMAX as well because their PSAs are better based on pretty much the same investment. So their ROIs are better. And so as a result, that's why signings are coming in more quickly.  As for the second part of your question, this year I think there was a faster turn in signing to install. And I would attribute that partly to the growth in retrofits such as what I mentioned earlier about AEON in Japan and what I mentioned a moment ago about Hengdian installing six in the rest of this year going forward. And I think that's also a function of seeing the strong box office. This is part of speculation, but I think, a lot of the exhibitors are saying, rather than invest in new builds, because there has been a lot of -- obviously there is a lot of screens, particularly in North America, and there is a lot of building going around the world. And also the high cost of capital is probably a detriment to doing new builds at the same pace. So I think they are saying, ''Well, we can increase our revenues and our profitability by signing up with IMAX and getting it going quicker, rather than a new build, which is a two to three year plan, and again, at a higher capital cost.'' So I think some of those macro trends are also speeding up both the signings and the install pase.
Stephen Laszczyk: Got it. That's helpful. And then maybe a follow-up on that for Natasha. Could you just talk a little bit more about the expected pacing of the JV equipment CapEx over the course of the next year or two, maybe on the back of Richard's comments on the install opportunity? Thank you.
Natasha Fernandes: So I think if we just look at our backlog, it is about 50-50 JV to sales arrangements. And so, historically, even our split on an annual basis is usually about 50-50. I mean, there is an opportunity for us as we start to look at rest of world regions in the high PSA markets, could we push out more JV CapEx? And of course, if we were sitting on the cash, I would be all for supporting and for us moving forward with the JVs. And so that would be at us a bigger return when you think about box office quarters like the one we had this quarter. And it just expands your margins significantly with the fixed costs between JVs and content. And so, I think there is an opportunity there for us to use cash towards JVs. But it is all part of how much cash flow do you have on hand, and what's the return on those particular locations. So I think you will constantly see a mix, especially because our pipeline and committed backlog is weighted pretty even. But I think there is always opportunities out there should there be high PSA markets.
Operator: Thank you. And our next question coming from the line of James Goss with Barrington Research. Your line is open.
Richard Gelfond : Jim Goss -- I don't know. Did you hear she called you out? You might be on mute, Jim?
Operator: Sure. We will go to our next question. Our next question coming from the line of Michael Hickey with The Benchmark Company. Your line is open.
Michael Hickey: Hey, Rich, Natasha, Jennifer, congratulations guys. A great, great quarter. So phenomenal job. Just two questions. You've sort of touched on this, Rich. Obviously, signings here year-to-date crushing what you did in '22. I think you are still a bit below pre-pandemic, but I think Natasha mentioned momentum here still in signings and nice to see China starting to come back with signings as well. I mean, is it -- are we to the point now where we should be comfortable that you can get some installation growth off your guidance this year. So installation growth for '24, is that a fair assumption at this point?  And the second question. Rich, you talked about -- obviously you have a crystal ball but maybe you can't get a read on this. But the labor dispute here now, it feels like in the final innings definitely. Tom moved to his movie, some disruption to the slate. You did note the amount of films you have and from the late breaking films in particular from Apple that didn't -- you didn't have planned earlier in the year. So just curious, given that uncertainty, when you look at '24, are you comfortable at this point that -- maybe not comfortable, but are you somewhat confident that you can continue to drive growth here from a global box office given the incredible performance on '23? And if so, how important is sort of China local language and streaming products in driving your enthusiasm? Thanks guys. 
Rich Gelfond: So we're about eight questions in there. I'll try and parse through them as best as I can. The first part I think was about signings and as it relates to install guidance for 2024. As you know, we don't give install guidance until typically early in the next year. We are in the middle of doing our budget right now, so we're looking at that carefully. Some of the external indicia, like the number of theaters we have in backlog, the fact that China had very few installs this year, suggests that '24 should be a stronger year, but we haven't yet done our budget, so I'm not yet prepared to comment specifically on that.  In terms of the labor dispute, they met yesterday into the evening, and my understanding is they're meeting again today, and in the real world, which -- allow me to caveat in a minute, there's not a lot of open issues out there. So you would think that this thing would be settled relatively in the near term. But again, there's so much emotion involved in these things. And when emotion clashes with the real world, it's very hard to make concrete predictions. But for what it's worth, and I'm not at the bargaining table, I think this thing will settle in the not too distant future.  In terms of how it affects 2024, I mean, I've said this consistently, it depends when it settles. So if it doesn't settle until six months from now, yes, we're going to have an issue in '24, because a lot of the films that are on our slate for the second half of '24 haven't finished filming. If it settles in the next couple months by Thanksgiving, I'll feel a lot better about it. That's beyond our control and very hard to predict. But one of the things that turns out to have been I think a good break for us is the fact that Dune moved to the first quarter of '24.  And as we said during our comments, Dune One was filmed 40% with IMAX cameras. This one is a 100% with IMAX cameras. There have been some really good additions to the cast, including Austin Butler. People have seen the film, have said really good things about it. So that's a really nice anchor for us to have in the first quarter. And then, as you go through the first half of the year, there are also a number of, I think films that'll do very well, including another Fury Road, Godzilla Vs. Kong, another Apple movie in the first half of the year and a bunch of other things. So for the first half, it looks pretty solid. For the second half if the set strike settles in the not too distant future, there's a lot of things going on there. But again, I have to go back and you even asked this as part of your question, the local language, there are some very promising things rumored to be coming out Chinese New Year. There's alternative content like concerts, much more streaming product coming on board. So I don't want to answer your question quite specifically because we're in the middle of the strike, but there's a lot in play there where I think if things fall in the right way, 2024 certainly can be a year of growth for us.  The other thing I want to say, it's sort of obvious, but we don't say it, maybe because it's too obvious, is an exhibitor who programs a multiplex needs lots of movies to program that multiplex. And if you look at IMAX this year where we're running consistent with our best year ever 2019 and exhibition is pretty far behind that, it's because there have been enough blockbuster really good films. So if the end of the second half of the year has kind of hurt a little bit by the strike, in general, all IMAX needs is one blockbuster or one concert or one streaming film in that period. So one thing I'll certainly say is I feel better about our growth prospects than exhibitions' growth prospects, irrespective of when the strike settles. 
Operator: Now, next question coming from the line of James Goss with Barrington Research.  James Goss, your line is open. 
Operator: All right. And I'm showing no further questions in the queue at this time. I'll turn the call back over to Mr. Richard Gelfond for any closing remarks. 
Richard Gelfond : Thank you, operator. I just have a few things to say to our shareholder base and thank you for being supportive all through these years, in the ups and downs. But one thing is that's management's credibility is based on, is delivering what they say they're going to deliver. And I've got to say, if you look back even over the pandemic and the last couple of years and our guidance this year, there's been a lot of consensus people saying streaming is going to last forever. And then the theatrical experience is dead. And then bankruptcies are going to destroy the industry. And IMAX is an exhibitor, look at them and their results. And we've consistently fought back on those false narratives and every one of them that we've said has proven to come true and they just haven't proven to come true in some theoretical abstract way. Where we promised years out in the future, we've really delivered this year and in particular, we've really delivered this quarter across every imaginable index, whether it is financial or whether it is signings, or whether it is our position in the ecosystem or even in small ways, many of you don't see, which is in our leverage in the day-to-day business. And we're like a must-have for blockbuster films on a global basis. And we have been able to use that to improve our slate, not only in the movie business, but whether it is in the concert business or in the streaming business. And that continues to go ahead. And that all feeds in to something I ended the last call on, which is math. I mean, I think if you look at where our EBITDA is, look at what our multiple was in 2019 pre-pandemic and look at where our multiple is today. And it is just -- I think, there is an awful lot of upside in IMAX. And all the stories everybody tells and you could just sit down with a pen.  And I guess the final point I should remember is, since 2019, we bought in a lot of shares. So, I would urge everyone to look at those criteria and figure out what a good valuation is for IMAX. I've certainly rarely been as confident as I am today. So again, thank you for joining us and we look forward to our year-end call.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.